Michel Morin: Hello, everyone, and welcome to our fourth quarter 2024 results call. This event is being recorded. Our speakers today will be our CEO, Marcelo Benitez; and our CFO, Bart Vanhaeren. The slides for today's presentation are available on our website, along with the earnings release and our financial statements. Now please turn to Slide 2 for the Safe Harbor disclosure. We will be making forward-looking statements, which involve risks and uncertainties and these could have a material impact on our results. And then on Slide 3, you can see that we define the non-IFRS metrics that we will be referencing throughout the presentation, and you can find reconciliation tables in the back of our earnings release as well as on our website. With those disclaimers out of the way, let me turn the call over to our CEO, Marcelo Benitez.
Marcelo Benitez: Thanks, Michel, and hello, everyone. Thanks for joining us to review the company's performance in our fourth quarter. Please turn to Slide 5 for the highlights of the quarter. As you all know by now, 2024 was a transformational year for Millicom. And as you can see on this slide, we ended the year with a very strong note with equity-free cash flow of $236 million in the quarter. For the full year equity-free cash flow excluding tower sales was $728 million, a new record. This is the result of our efficiency program which drove our OCF margin up 8 percentage points to almost 31%, also a new record. I want to express my profound gratitude to the exceptional DOT members who made this transformation possible. As promised, we used the cash flow to reduce our debt and we managed to bring the leverage down below 2.5x, which was one of our key priorities for the year. At the same time we took key steps to sustain and accelerate revenue growth which is our key objective in 2025. In Q4 we added 274,000 postpaid customers and 49,000 home subscribers while maintaining a strong momentum in B2B. This provides a solid foundation for another excellent year in 2025. Now let's dive deeper into these key highlights starting with our Mobile business on the next slide. Our Mobile business delivered another solid quarter in Q4 with organic service revenue growing more than 4% in line with Q3. For the full year, Mobile service revenue growth accelerated to 4.6% compared to 2.4% in 2023. This improved performance is the result of the four key strategies we focus on throughout the year. First, we've expanded our mobile network capacity laying the foundation to drive data consumption and monetize growth through strategic price increases which drove improved service revenue growth in prepaid. Second, we simplified our commercial offers reducing complexity from too many options to not more than 10 per country making it easier for customers to see the value we deliver. Third, we continue to proactively migrate our best prepaid customers to postpaid increasing their days connected and ARPU. Our postpaid customer base continued to grow every quarter and this is an important contributor to our overall mobile service revenue growth. And fourth, we introduced new convergence plans driving lower churn, higher ARPU and improved customer lifetime value. And convergence is also driving improved net-adds in our Home business as you can see on next slide. At the beginning of the year our priority was improving profitability while addressing the fundamentals of the business. By Q2, we said we were ready to move from a defensive mode to an offensive strategy and that's exactly what we did. During Q4, we added 49,000 Home customers and our customer base is now up 3% year-over-year. This is the result of our key strategic initiatives, upgrading our broadband network to deliver higher speeds, simplifying our commercial offers, and accelerating convergence, focusing our sales teams in low penetrated areas, strengthening our commercial capabilities including the opening of new stores. And as I mentioned in the Q3 call customer satisfaction is up and churn is down. With this strong customer growth, we expect service revenue to return to growth in 2025. Please turn to the next slide for a quick look at our B2B business which continues to perform well. B2B revenue grew 3.1% organically for the full year in 2024. Digital solutions continue to grow rapidly with an increase of nearly 15% in 2024. This growth was supported by our secure and robust infrastructure as well as our world-class pre-sales and support team which added about 150 new certifications during 2024. Our revamped FMC offer was very well received by entrepreneurs and small businesses resulting in growth of around 7% in our SME customer base over the past year. Now let's review our performance in our three largest countries beginning with Colombia on next slide. The key highlight in Colombia is the EBITDA margin which reached 38.1% for the full year. That's up more than six percentage points, year-over-year. As many of you know, for most of the past decade, Colombia has been a challenging market for us and for almost every other telco in the country. Over the past year we have taken meaningful steps to improve the profitability of our business. It wasn't easy and I want to express my appreciation to the extraordinary team in Colombia. Your dedication is at the heart of this transformation and while our focus has been on improving profitability, we have not lost sight of the need to continue to take care of our customers and capture our fair share of new customer growth. We did just that again in Q4 with very strong net additions in both our postpaid Mobile and our Home business and we're confident that this momentum in net additions will drive faster service revenue growth in 2025. Now please turn to the next slide to look at our performance in Guatemala our largest market. Let me start with the punch line. 2024 was a record year for cash flow in Guatemala with OCF up about 10% to $692 million. This is mostly the result of our efficiency program which drove the full year ’24 EBITDA margin to 54% our highest margin in more than five years. Meanwhile we've also produced some CapEx savings as we optimized our network by putting to work the new spectrum that we acquired in 2023. Most importantly, we delivered this strong cash flow while also driving top line growth. 2024 was our strongest year since 2021 in terms of service revenue growth. This came mostly from a combination of ARPU increase in prepaid and an acceleration in our postpaid customer base and our strategy is delivering results as reflecting the fourth straight quarter of Mobile revenue growth. Now let's look at our 2024 performance in Panama on next slide. 2024 was a truly exceptional year for our business in Panama. As you can see here, service revenue grew close to 5%, thanks to the strong performance in both Mobile and B2B which more than offsets the decline of our Home business. Importantly growth in Mobile accelerated through the year and our Home business improved in Q4. Meanwhile we had a record year in B2B, thanks largely to the two governmental projects. This will create a tougher comparison in 2025 but we are very well positioned to compete and land more of this type of contracts in the future. And finally on the right hand side of the slide you can see the key takeaway. Panama with its stable and dollarized economy generated more than a quarter billion dollars of OCF in 2024. Now please turn to the next slide to look at equity free cash flow and leverage. Over the past year we've told you about all the initiatives we've implemented as part of our efficiency program and these have paid off. As I mentioned at the start of my remarks, we have successfully and permanently turned it around the company's financial profile delivering $728 million of equity free cash flow in 2024. And we use this cash to reduce our leverage which ended the year at 2.4 times which is within our target range. Some of you will recall that we had initially guided to 2024 EFCF of around $550 million and we increased this guidance throughout the year as we executed on every component of our efficiency program in every one of the nine countries where we operate. We are very pleased with these results but rest assured that we are already taking steps to ensure that the company can continue to sustain and grow its cash flow in ’25 and beyond. Before handing the call over to Bart, I'd like to take a moment to update you on the strategic initiatives we have previously announced. First, regarding the sale of Lati International to SBA, we filed for antitrust approval in every country where this was required. We remain on track to close this transaction on either Q2 or Q3 of this year. Second, with respect to Colombia, we filed for regulatory approval and we make great progress towards formalizing our agreement with Telefonica to acquire their 67.5% stake in Coltel. We also remain committed to offering the same price per share to the minority partner, the Government of Colombia, and we are pleased to see that they have now hired financial and legal advisors who will help them to launch and manage the process to sell their stake under the privatization law 226. And as we have already told you we are also ready to acquire our partner's 50% stake in our own Colombia operation. If EPM decides to sell, we will offer up to the same valuation multiple agreed for Coltel which is the best possible valuation comparable for a transaction like this. Third and finally, in Costa Rica where we've agreed to combine our operations with those of Liberty Latin America, the regulatory process is ongoing and expected to be completed later this year. Now let me turn the call over to Bart to review the finances for this quarter.
Bart Vanhaeren : Thank you, Marcelo. Now let's look at our financial performance beginning on Slide 15. Service revenue was $1.34 billion in the quarter which is 2.9% down from $1.38 billion a year ago. Operationally this is not what we see. In fact the P times Q is growing quarter-over-quarter but there are two elements to consider in analyzing this quarter. One, Panama B2B project which we have consistently referred to, that had a peak revenue recognition in Q4 of last year and in Q1 of this year. This creates a year-on-year difference for Q4 of about $25 million. And two, FX mainly in Colombia where Q4 average exchange rate was about 5.8% weaker in Q4 than in Q3 or 9.5% year-on-year. This represents approximately $30 million. Now on a good note, that trend is curbed in Q1 as we see the COP appreciating now. So to conclude, we report 2.9% revenue decrease. Excluding FX in Panama projects, we see operationally a growth of about 1.3%. EBITDA was up 11% year-on-year to $618 million. This included $30 million of restructuring and other one-off charges. We have now significantly completed our restructuring program spending a total of about $150 million which again is all included within the reported numbers. We will obviously continue to focus on efficiencies across the grid but going forward we'll consider associated costs to be baser than usual. Equity free cash flow excluding net proceeds, tower disposals was $236 million up almost $200 million compared to $39 million in Q4 of last year. Equity free cash flow for the full year was $728 million, again excluding the $49 million in tower monetization, which was well ahead of our most recent guidance of around $650. On the next slide let's drill down further on service revenue by country. Marcelo has already talked about revenue trends in Guatemala, Colombia and Panama, so we'll be very brief. One, Guatemala, back to growth track; two, Colombia hit by FX, as I mentioned we have approximately $30 million negative impact from FX without which revenues would have been flat; Panama, as mentioned before approximately $25 million of difference year-on-year related to B2B projects. So a tough quarter to compare around year-on-year but if you look sequentially quarter-on-quarter we will see Panama grew 1.6% which annualizes to 6.5%. Then looking at Bolivia service revenue, increased 2.5% with positive growth in Mobile and B2B offset by flat performance in Home where we continue to prioritize profitability in light of the challenging macroeconomic environment especially as it pertains to the lack of dollars. As many of you know the Boliviano exchange rate is currently pegged at a rate of 6.91 to the US dollar. However we are having to pay commissions of as much as 70% to buy dollars at that exchange rate. Beginning in Q1 2025, we expect to begin using an estimated spot rate for our financial reporting consistent with the latest amendment to Accounting Standard IAS 21 which went into effect in January. This is expected to negatively impact service revenue EBITDA and basically the entire P&L as reported in US dollars. A massive exercise to convert costs into local currency has been performed this year in addition to a natural hatch of local currency debts both somewhat mitigating these negative effects on the organic business. We're expecting nonetheless low to mid double digit million US dollars impacts on our group EFCF due to the upstream costs. Paraguay's service revenue was $136 million and the year-on-year growth accelerated to 4.7% in local currency driven primarily by solid growth in Mobile and B2B. This was a nice improvement compared to growth of just over 1% in Q3. Service revenue in Other markets comprised of El Salvador, Nicaragua and Costa Rica, declined 3% in US dollar terms with positive growth in Nicaragua more than offset by declines in El Salvador and Costa Rica. The decline in El Salvador relates primarily from a non-cash adjustment to B2B revenue from prior periods. Now please turn to the next slide for a look at EBITDA by country. Guatemala EBITDA was relatively stable increasing 0.7% in local currency terms to $215 million reflecting service revenue growth and efficiencies which were partially offset by the impact of $8 million in restructuring charges in the quarter. Colombia EBITDA declined 5.2% to $122 million due to the weaker Colombian peso. In local currency terms EBITDA increased 3.7% now reaching 37.1% as we continue to take steps to make our second largest operation profitable on a sustainable base. Panama EBITDA grew 19.9% year-on-year and the margin reached a new record of 50%. I herewith want to congratulate our Panama team with this landmark achievement, welcoming them as a second country in our IFRS perimeter into our Club 50 an internal competition for our countries to reach 50% EBITDA profitability. Bolivia EBITDA increased 39.8% to $71 million and the EBITDA margin expanded to 45.3% as we continue to focus on profitability here as well. Again I want to point out to the FX issues as a cautionary state. Paraguay EBITDA grew 37.6% to $66 million in Q4 2024 and the EBITDA margin was 46.7%. We were pleased to see Paraguay deliver both strong margins and top-line acceleration in Q4. EBITDA in our Other segments increased 1.5% in US dollar terms as savings from our efficiency program offset the decline in revenue that I've already mentioned. Now please turn to the next slide for a look at equity-free cash flow and leverage. As we already discussed, EBITDA for the quarter was $618 million that is up $61 million from last year. Cash CapEx was $162 million and that's down $52 million from last year. Spectrum $26 million down almost $100 million compared to last year when we acquired some new spectrum in Guatemala and Colombia. As a reminder, spectrum is always a little bit bumpy quarter-on-quarter. Changes in working capital and other, was positive $30 million and stable versus last year. Taxes paid were $65 million, which is up $10 million from last year due to the increase in pre-tax income over the past year. Finance charges were $101 million and has been steadily declining as we've reduced debt over the past year and is partially offset by Bolivia conversion charges. Lease payments were stable at $80 million, we've seen an increase in lease payments in local currency terms but this was largely offset by FX as most of our lease obligations were denominated in local currency. Honduras repatriation was $23 million in the corner and just shy of $90 million for the full year 2024. That's up about $3 million from 2023 which is a good outcome given the capital controls that continue to impact our access to dollars in the country. As a result of all these factors, equity free cash flow for the quarter was $236 million. This is up almost $300 million compared to Q4 2023. To conclude on this slide, as you can see on the top right the equity free cash flow was used to reduce our debt which declined $230 million during Q4. Our leverage therefore ended at 2.42 times, nicely within our stated targets. Now please turn to the next slide or look at our equity free cash flow and leverage for the full year 2024. I won't go over each of these points individually and I will simply highlight that most of the improvement came from a mix of higher EBITDA or $357 million, lower CapEx for a similar amount and about $100 million lower spectrum charges. And more importantly we did what we told you we were going to do. We used up incremental year-on-year cash flow to reduce our net debt and with that bringing our leverage below 2.5 times. Now please turn to the next slide to review our financial targets for 2025. As you have seen we generated record equity free cash flow of $728 million in 2024. This excludes $49 million in Columbia tower monetizations and includes more than $150 million of one-off charges mostly related to our restructuring program which is now largely completed and is expected to produce additional savings in 2025 based on the run rate savings already achieved in Q4. Now there are factors that may negatively impact our equity free cash flow in 2025. As you know we operate in emerging markets that are sometimes volatile and hard to predict. This includes Bolivia where the adoption of an estimated spot rate in our financial reporting will negatively impact our EBITDA and leverage and of course FX is also a risk factor in Colombia and Paraguay. Finally, we also have some ongoing legal disputes that may impact equity free cash flow in 2025 if we can win those. With all this in mind, we're targeting 2025 equity free cash flow of around $750 million and we expect to end the year with the leverage below 2.5 times. I want to caution you that leverage may go up a bit in Q1 given the usual seasonality of our cash flows and considering also the shareholder remuneration, on the one side the dividend paid in January and on the other side the ongoing share buyback program. Nonetheless again we target to end below 2.5 times at the end of the year. Also I should remind you that these targets do not include the impact of any of the strategic projects that Marcelo talked about. Finally, as we have previously communicated, the Board has recently decided to resume shareholder remuneration. We paid an interim dividend of $1 per share in January. Yesterday the Board approved another interim dividend of $0.75 per share to be paid in April and the Board will propose to the AGM in May a new quarterly dividend of $0.75 per share with the explicit intent to sustain or grow this dividend every year. In addition, we have been executing on a $150 million share buyback program. As Marcelo said earlier, the efficiency program we implemented has changed the cash flow profile of the business in a way that we believe is permanent and sustainable and the Board's decision to resume shareholder remuneration is consistent with this view. We are now ready for your questions.
A - Michel Morin : Thank you, Bart. We will now begin the Q&A session. So as a reminder if you would like to ask a question please send an email to investors at millicom.com. We will be taking our first question from Marcelo Santos at JP Morgan. I think we need to bring Marcelo into as a panelist, so let's give him a second. Okay, Marcelo, the floor is yours.
Marcelo Santos : Thank you. Sorry it took me a while to reconnect to the panelist. Thank you very much for the opportunity to ask questions. I wanted to go back to something that was discussed in the beginning. You mentioned that accelerating growth is a key priority for 2025. Could you please be a bit more explicit on which markets and segments should see the main improvement as per your expectations? And the second question is a bit related to the first. What will be the cost of these re-acceleration efforts in terms of OpEx and CapEx? Could we expect some pressure in margins, a bit higher CapEx? These are the questions.
Marcelo Benitez: Hello Marcelo. Good to see you. Thanks for the questions. Well on the first one, as you can see our Mobile business that is more than 50% of our revenues is growing nicely. I mean year-over- year it grew 4.6% on the back of postpaid 8% and prepaid 3%. We believe that this trend is going to be repeated in 2025 basically because our postpaid base is still too low as a percentage of the total base. We believe that should be around 30%. That's our target. And today we are at 12%. So we have enough room to grow. In the case of prepaid, what we are doing there is since the traffic is increasing year over year, 16% in 2024, we are also increasing the allowances and the tickets in prepaid. So with that, we got to grow 3% in 2024 and we plan to do the same in 2025. On top of that, you will see Home recovering from a couple of quarters of negative growth after we started adding positive net-adds since October of last year. We believe we are going to be in positive territory in Q2, somewhere in Q2 of this year. And B2B, we do expect the same rate of growth of ’24 around 3%. So I believe with that you can play with the numbers Marcelo and do the math. Regarding the pressure on margins, we do believe we can sustain the same level of CapEx. We've been very, very focused on how we spend CapEx. As an example, we take a granular view on where to invest. In Mobile, 27% of the municipalities represents 80% of the revenues. So instead of investing in average to the whole network, we are investing where the demand is. And it's the same concept we are applying to Home. So with this new framework, we've been able to keep the same level of CapEx of ’24. So we don't see any pressure on margins there. And to your questions about countries, it's easier to answer. I mean, because this is a very, this is a playbook that we are implementing in all the countries. But it's easier to tell you which ones are going to be more challenging. And it's going to be, one, Costa Rica, because basically the operators, the two largest operators, they are very aggressive. They became very aggressive commercially on convergence offers. And that is something that impacts directly to our customer base and to our ARPU, and in Bolivia, because of the currency devaluation. So you will see nice, very nice growth in local currency, but it's going to be affected by the devaluation.
Marcelo Santos : Perfect. Very clear. Thank you very much.
Michel Morin : Thanks, Marcelo. So next, we're going to go to Stefan Gauffin at DNB. Stefan, the line is yours.
Stefan Gauffin : Yes. Hello. Can you hear me?
Michel Morin : We can. We can't see you, but we can hear you.
Stefan Gauffin : Yeah. Not sure why. Let's see if I can fix the camera.
Michel Morin : But that's okay. Go ahead.
Marcelo Benitez: We remember you, Stefan.
Stefan Gauffin : There we go. So I'll follow up on CapEx questions. So you said that CapEx could be in the same range, but there's quite a big difference on cash CapEx and booked CapEx in 2024. So could you comment a bit on what you see, how this will develop in ’25, so that we don't have a backlash on cash CapEx? Secondly, a clarification, you made a provision for, and you also, in the cash flow guidance, you highlight risk of adverse legal rulings. So can you please comment on what that is all about? And then perhaps finally, given the change in reporting, in Bolivia, what kind of spot rates are you looking at using for that market? Thank you.
Bart Vanhaeren: Yeah, I will take those. So on CapEx, CapEx booked has come down from ’23 to ’24 from $809 million to $677 million. For ’25, we'll see that stabilizing around that number. We believe that's a good wallet, let's say, to spend in our markets. In terms of cash CapEx, indeed, it went stronger down from $931 million to $575 million. I think that the ’23 number had really some payables from ’22. So that cash CapEx in ’23 was a bit artificially high. And the $575 million is a little bit low, if you ask me. And that is because there was a lot of Q4 delivered CapEx or executed CapEx in Q4, which that will be paid in Q1. If you look, we didn't give guidance for ’25 on CapEx level, but you can expect those two numbers to convert in the future. Over time, those numbers need to be the same, right? So ultimately you pay what you book. And so as our CapEx booked, will start to stabilize our cash CapEx should stabilize around that same number. On your second question regarding legal rulings, you might see in our disclosures, I mean, I think it was published as well. One was a negative ruling on Costa Rica case with Telefonica. And both parties appealed, so that's not yet in final form. But because there was a negative ruling, we took a provision for that in the $80 million zone. And then generally, it is LATAM, you may have negative rulings. In other cases across countries, there's not a single big one to flag out, but it comes and goes depending on the year, similar for tax claims that may come and go. On Bolivia, in Q3, we have paid as high as 60 something percentage of commissions to buy at the official rate, so an implied underlying devaluation of 60 something percent. As from January, IAS 21 comes into effect. We will adopt that for Bolivia. So that's the high inflation accounting that's a hyperinflation accounting. And as from January, we are still in discussions with the auditor on what the right number is, but I expect this to be within the 60% area to start in January, which could increase during the year. Now what is the effect of that? You will see a significant hit on revenues and EBITDA in US dollar because of the way we account for that. On equity free cash flow, I think we can indicate that for ’24, Bolivia did around $100 million equity free cash flow, in that order of magnitude. And so that's there, somewhat the risk to our equity free cash flow in ’25. This being said, this year we have as well, let's say $25 million of commission costs, which will disappear because you book it already in your conversion costs. So the equity free cash flow impact is not the 60% or 70% of your country equity free cash flow, but a little bit less because we already have cost incurred in 2024, which now no longer will appear in the interest charge or financial charges cost.
Stefan Gauffin : That's perfect. Very clear, thank you.
Michel Morin : Thank you, Stefan. [Operator Instructions] Our next question is going to come from Phani at HSBC. Phani, the floor is yours.
Phani Kanumuri : Yeah, thank you for taking my questions. The first one is regarding your pricing power in Guatemala, Colombia and Panama. I mean, you're expecting to react to the rate growth but is it driven more by volume or do you have some pricing power in this market? The second one is regarding the ability to reinstate dividends this year. So why did you feel that the 2.5x net leverage target is good? Or why did you prefer dividends over debt reduction at this point of time?
Marcelo Benitez: I’ll take the first one and you take the second. So to the first question, Phani, we believe that this is a very consumer-driven market. What we do see is that the demand for data is increasing every year, and what we do is to monetize that increase. So the way we do it is increasing the allowances by, and at the same time, increasing the ticket. So it's a more for more equation. That will be the case not only in Colombia and Guatemala, but in all other operations in all the countries where we have mobile, all except Costa Rica. And that is a trend that I believe is going to be for sure in 2025, but also in the next following years.
Bart Vanhaeren: On the leverage and dividends, so we generate about $750 million equity-free cash flow. So we decided or recommended to distribute two-thirds of that to shareholders, $500 million, which is $3 per share, which is under $0.75 per quarter. And then keep one third for either deleveraging or strategic projects such as the acquisition of Telefonica in Colombia, and will be a good step in the direction of financing those acquisitions. So it's a bit of a balanced approach. The 2.5 times leverage, we always said we would start or only consider starting shareholder distribution once we reach the 2.5 times or go below 2.5 times, which happened in November, we went to the Board and then started the distribution. We expect at the end of the year to be significantly below the 2.5 times. Just a bit of a cautionary statement there, you know that cyclically Q1 is always a little bit weaker in our industry. So including the first dividend, $170 million plus $150 million share buyback, $320 million goes out of the door with the last 12 months EBITDA that may be a little bit weaker just on the cyclicality and a very good Q1 last year with the B2B projects. The leverage may go up a little bit again in Q1 before then it comes down again Q2, Q3, Q4. So we'll end the year significantly below the 2.5 times, but we might go up a little bit in Q1.
Phani Kanumuri : Yeah, perfect. Thank you.
Michel Morin : Thanks, Phani. So our next question is going to come from Gustavo Farias at UBS. Gustavo?
Gustavo Farias : Hi everyone. Thanks for the time and taking my questions. First, congrats on the results, so, two questions from my end. The first one regarding the ’25 guidance, if you could comment on what are the main assumptions embedded on the guidance, you comment on some downside risks for macro FX from the countries you operate, especially Bolivia, Colombia, and Paraguay. So if you could comment on, not only this downside risks but also on potential upsides and how much of that are you embedding on the guidance. And my second question, if you could comment on how's been the competition in Colombia, especially after we saw WOM's acquisition, how are you thinking around that theme? Any color would be really appreciated. Thank you.
Bart Vanhaeren: I'll take the first one. You take the second?
Marcelo Benitez: Yeah, yeah.
Bart Vanhaeren: So assumptions of the guidance. So one, I think the $750 million on itself, it's a 3% year-on-year increase and 7% above consensus. So all things considered at the beginning of the year, I think it's a solid outlook or guidance as you will. And as well, if you look at it, this is a 16% equity free cash flow to equity yield at yesterday's price. So there, we're very comfortable that that's a decent number. If you look at it, you might indeed indicate that, considering where we are already this year and considering the amount of one-offs, it could be a bit on the low end. But then again, as we said, with some legal costs and then FX costs that might come in into 2025. So as those materialize, we wanted to embed that into our guides. If you look at the underlying assumptions, we would expect that revenues to continue to perform well on the P times Q underlying business, but then the top line in US dollar will decline more likely than not because of the accounting of Bolivia. Right? So that's just an immediate hit to the P&L. EBITDA on the other side is likely to go up. As I mentioned, the CapEx stable, which then doing the math, coming to our equity free cash flow, which is this 3% up year-on-year.
Marcelo Benitez: Yeah. So, Gustavo, Colombia remains a very competitive market. WOM is still operating and competing. They are also in the process of being recapitalized. There is also an aggressive, I would say the market is being very aggressive in fixed broadband. So we are having some pressures there. But despite this, we are growing very nicely in Mobile. In the year we grew 8%, mainly driven by postpaid. And in Home, we are recovering the negative trend. And that will end, and that recovery will end during the half or on the half of this year. So that is in Colombia.
Gustavo Farias : Thanks for the answers and congrats on the results once again. Bye-bye.
Marcelo Benitez: Thank you, Gustavo.
Michel Morin : Thank you, Gustavo. So next we received a question via email and perhaps this is for you Bart, it's regarding our M&A projects in Colombia and Costa Rica, if we can provide a bit of an update on the regulatory process there and the approvals.
Bart Vanhaeren: Yeah. So we announced a few months ago the agreement with Telefonica, on our term sheets about the acquisition. Subsequently, we did two things. We did the filing for the merger in Colombia that is progressing well. There's some questions that come from the regulator and that we are addressing, but so far, moving ahead as planned. On the long form negotiations, the discussions with Telefonica are ongoing and going well. We hope to land this in the coming weeks. And I don't think we will announce this particularly as it doesn't change the progress of the project. We at this moment still expect to have a closing later in this year, at the second half of the year. Costa Rica, nothing really to announce, it follows the regulatory path. We believe at the year end, around year end, to have regulatory approvals, but this can come a little bit earlier or a little bit later. We're not really in control of that process.
Michel Morin: Okay, thanks Bart. So that was the last of our questions. Maybe Marcelo, I turn it back to you for any closing remarks.
Marcelo Benitez: Thank you, Michel. Well, we are very pleased with the results. It's been a transformational year for us. We're very happy. But as I said in the call that was last year now we're working to replicate the same this year. So rest assured that we are very focused on that. So thanks. Thanks everybody for joining the call and thanks Michel.
Bart Vanhaeren: Thank you, every one.